Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.: 
Operator: 00:03 Good day, and welcome to the Netlist Fourth Quarter and Year-End 2021 Earnings Conference Call and Webcast. All participants will be in a listen-only mode. [Operator Instructions]. After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. 00:34 I would now like to turn the conference over to Mike Smargiassi, Investor Relations. Please go ahead.
Mike Smargiassi: 00:41 Thank you, Tom, and good day, everyone. Welcome to Netlist fourth Quarter and full-year 2021 conference call. Leading today's call will be Chun Hong, Chief Executive Officer of Netlist; and Gail Sasaki, Chief Financial Officer. As a reminder, the earnings release and a replay of today's call can be accessed on the Investors Section of the Netlist website at netlist.com. 01:08 Before we start the call, I would note that today's presentation of Netlist's results and the answers to questions may include forward-looking statements, which are based on current expectations. The actual results could differ materially from those projected in the forward-looking statements, because of the number of risks and uncertainties that are expressed in the call, annual and current SEC filings and the cautionary statements contained in the press release today. Netlist assumes no obligation to update forward-looking statements. 01:38 I would now like to turn the call over to Chuck.
Chuck Hong: 01:41 Thanks, Mike. And hello, everyone. On this call covering the annual results, I'd like to begin by highlighting the significant progress Netlist made in 2021 across all areas of its business. 01:57 Total revenues tripled compared to the prior year, which consisted of a doubling of product revenue to more than $100 million and the addition of $40 million in licensing revenue. Gross profit increased 6 times and the company delivered $11 million in net income before taxes. We ended the year with a much stronger balance sheet as working capital tripled compared to the end of 2020. This strong performance is the result of Netlist’s ongoing execution of our product and licensing strategies. Some key results include: one, entering a strategic agreement with SK Hynix that recognized the strength of Netlist’s intellectual property, while bolstering the company's products business; two, stepping up intellectual property enforcement against significant infringing parties; three, expanding near-term product offerings; and four, investing in R&D to drive strategic growth in the coming years. 03:02 For a closer look into these areas, let's start with intellectual property. Many of you follow Netlist’s legal activities. As you know, Netlist has invested a great deal of time and energy to develop and defend its IP over the past 2 decades. The goal has been to enter licensing agreements with companies that implement Netlist’s technology and high performance memory. We've made excellent progress in this area during 2021 and have already seen returns on this effort starting with SK Hynix. 03:38 Entering into a multifaceted arrangement with SK Hynix was a major step forward for the company. Opening up multiple avenues for growth through licensing and supply of Hynix’s memory products. We have quickly ramped up operations with Hynix and expanded the revenue stream. 04:00 Moving on to Google, an important milestone in 2021 was resuming Netlist’s patent infringement action against Google. We first look -- took legal action against Google in 2009 for their infringement of Netlist’s memory module patents. Early on, Google and 2 other entities enlisted for support together accounted to and validate Netlist’s 912 patent. After a legal battle lasting over a decade, Netlist’s -- Netlist fought off the challenges and finally received indication from the federal circuit court of appeals that the 912 patent was not invalid. After winning at the appeals court and the patent office, Netlist’s action against Google restarted and is now before Chief Judge, Seeborg in the Northern District of California. Chief Judge Seeborg supervisors the administration of the entire district along with handling the docket of cases that include patent matters. Given the tenure and outcome of our February 10th case management conference, his involvement is a very welcome development. 05:14 Accordingly, we've withdrawn the motion to transfer the case to what we assumed would be a quicker docket. The judge stated that Netlist’s case against Google is the oldest on his docket “by light years”. And seemed inclined to meaningfully move the case forward. Indeed the court will hear the party's various pending motions, including intervening rights on March 3rd. Following a ruling, we expect Chief Judge Seeborg will set a schedule finally allowing us to bring our case against Google before jury. It is encouraging to see this case moving forward again. And to know that Netlist will have it stay in court to address Google's longstanding infringement. 06:05 Moving on to Samsung. Netlist’s breach of contract case against Samsung wrapped up on February 14th with a concise post trial hearing at the Federal Court in the Central District of California. A definitive judgment issued the very next day against Samsung on all 3 of Netlist’s claims and this final judgment confirms what we've known all along, that Samsung does not have a license to Netlist’s intellectual property and must now again secure legal permission from us to continue selling its in infringing products. 06:46 In an attempt to escape the Central District of California, Samsung petition to Delaware Federal District Court to rule that it doesn't infringe certain Netlist patents, and that these patents are enforceable. And Netlist’s recently filed motions to dismiss, we've shown why Samsung is wrong. Beyond highlighting that Samsung is improperly asking a Delaware Court to reconsider the California case, we explained why Samsung has no standing to bring its complaint at all. Samsung is now asking the Delaware Court for another opportunity to amend its acquisition against Netlist, we move the court to ignore these unfounded please. We expect the Delaware Court to rule on Netlist’s motions in the coming months. 07:37 Following an early summary judgment went in California, confirming Netlist’s proper termination of the JDLA. Netlist filed a patent infringement action against Samsung in December in the Eastern District of Texas. Netlist is accreting 3 of its patents, the 506 and 339 patents, which claim aspects of Netlist’s innovations for LRDIMM Technology and the 918 patent, which claims Netlist’s innovative power management technologies found in virtually all new DDR5 memory products. 08:16 Judge Gilstrap will preside over the case. This venue has historically had a quicker time to trial, typically in the range of 12 to 14-months. Samsung's response to the suit is due in April. And we expect -- we expect the case management conference to take place shortly thereafter. 08:36 Now on to Micron. As you may recall, Netlist launched this action against Micron in April 2021. Netlist filed 2 distinct actions simultaneously in the same court, 1 for patents covering our LRDIMM innovations and 1 for patent covering NVDIMM inventions. The case is proceeded together in parallel and pass-through much of the initial work underpinning claim construction. Most recently, we requested a transfer of the case from the districts Waco Court to its Austin Court. 09:08 Due to our significant efforts to-date moving under a rapid case schedule, Micron already filed its opening claims construction brief. A marksmen hearing was set for the end of March in Waco. But that date may get pushed back to the intra -- due to the inter district transfer. The case management conference is set for March 3rd, where we expect Judge [Ako] (ph) to determine the timing on remaining claims construction deadlines. As expected, Micron filed interparty’s re-exam on Netlist patents. Those IPR proceedings will follow their own independent course. 09:50 Finally, Netlist was very active on the patent issuance front. In 2021, we received 10 new patents, 1 in the US, 2 in Europe and 1 in China. Some of these new patents protect the power management portion of the DDR5 memory module. DDR5 memory, we believe will become dominant within the next few years, making these patents very valuable. 10:19 Now, let's move on to product side of the business. As we noted earlier, product sales more than doubled in 2021 and grew 36% on a consecutive quarter basis. Analysts are forecasting nearly 30% compounded annual growth in NVMe SSD demand through 2025. Netlist continues to invest a significant amount of resources into this market, including development of NVMe SSD product line. During 2021, we introduced the Gen4 NVMe SSD which have exceptional read right performance. With better supply chain agility on high-end SSDs, Netlist can provide short lead times compared to the major SSD suppliers during a tight market environment. In 2021, Netlist ramp qualification activity for the Gen4 products resulting in doubling of SSD revenue during Q4 compared to Q3. And we expect to grow these revenues through 2022. 11:30 Netlist’s relationship with SK Hynixis is providing positive returns for overall product revenue. As Netlist’s access to Hynix product line continues to grow, we are seeing increased number of opportunities and the work together with Hynix strengthens Netlist’s resale infrastructure and seeding the market of these products is starting to pay off. Combined with Hynix’s DRAM modules and components, we are strategically diversifying the product portfolio from server memory and enterprise SSDs to IoT and Embedded Solutions. This is enhancing Netlist’s competitive position and our ability to meet the broader needs of our customers. 12:17 After a strong Q4 performance, we see continued momentum into 2022. We expect to see DRAM and NAND prices stabilize in the spring of 2022 as inventory levels adjust resulting in reduced volatility. In addition, recent fab contamination at Kioxia is likely to result in NAND flash supply constraints that further supports price stabilization. As we move through 2022, we anticipate a market where supply continues to tighten and demand increase. Together, these trends will create what we believe will be a favorable environment to crop -- to grow product sales. We will be watching this market very closely. 13:06 Finally, across the industry, we're seeing a significant investment into CXL. This is the first new bus in computing since the advent of PCIe decades ago, and it will open up huge market opportunity. Netlist’s goal is to capitalize on its years of investment in storage class memory and marry our technology with the CXL bus. This groundbreaking technology called hybrid memory expansion uses the lowest cost for memory raw material, NAND flash to create the performance of the highest cost memory raw material DRAM at a fraction of the cost of traditional memory. 13:49 In 2021, we invested heavily in the ASIC Engineering team, headed up by Raj Gandhi as VP of ASIC, tripling the size of this group. With a core design and verification resources in place, we are accelerating the development of the ASIC controller for HMX. By the time Intel and AMD launch CXL enabled server systems in 2024, we will be well positioned to offer this technology to the market. By replacing DRAM and NAND at a fraction of the cost, HMX has the potential to fundamentally upend the economics of memory. 14:36 In closing, 2021 was a record year across the business. We delivered strong financial results, entered into a strategic relationship with the world's second largest memory maker, and laid the groundwork for a diverse and growing products business. We entered 2022 with strong momentum. As a result of the success of the past year, we've become a significantly larger entity with clear growth opportunities. This is due in no small part to Netlist’s shareholders, who have believed in and remain dedicated to the company. We thank you for your support. 15:18 Now I'll turn the call over to Gail for the financial review.
Gail Sasaki: 15:22 Thanks, Chuck. During the 12-months that ended January 1st 2022, total revenue increased 201% and product revenues grew from $47.2 million to $102.4 million, an increase of 117%. We also recognized significant licensing revenue from Netlist’s strategic agreement with of SK Hynix. 15:48 2021 marks the second highest revenue year in Netlist’s history. Gross margin dollars were $49 million, a 6 times increase for the current year compared to $6.7 million for 2020. Excluding IP licensing revenue, gross margin percentage was 8.7% in 2021 compared to 14.2% in 2020. This reflects increased resale revenue, which represented a larger portion of the product mix as we leverage the product supply agreement with SK Hynix. 16:26 Fourth quarter revenues were $36.3 million, compared to $11.5 million in Q4 2020, an increase of 216% and also up 36% on a consecutive quarter basis. Gross margins were 5.6% for Q4 2021 and 12.7% for last year's quarter. The gross margin percentage variance between quarters is primarily due to product sales mix, but was also due in part to a temporary downturn in the market price of DRAM during the second half of 2021. 17:04 The increase in operating expense for both 2021 and the fourth quarter was due to increased legal fees related to IP enforcement actions and to expansion in the sales, marketing and engineering teams necessary to support sales and R&D acceleration. As a reminder, we do not formally guide, but given Netlist’s booking and shipments to-date, we can expect to see a sizable increase in product revenue dollars for Q1 ‘22 as compared to Q4 ‘21. 17:38 While the market environment remains fluid with pockets of price softness, specifically in the DRAM market. We believe the long-term memory and storage industry trends remain favorable, and we remain well positioned to drive 2022 financial performance. We will continue to invest in growth across all areas of the business, R&D, the product business and as well as to support IP enforcement activities. 18:08 As for our balance sheet, we significantly strengthened the balance sheet during the year ended 2021 with cash and cash equivalents and restricted cash of $58.6 million compared to $16.5 million at the end of 2020. In the fourth quarter we utilized $16.8 million of cash to retire the Samsung note and currently have no significant short or long-term debt. We also opportunistically raised approximately $13 million during the quarter at an average price of $6.77 and maintained significant financial flexibility and liquidity with $63 million remaining on the equity line. 18:55 As always, we continue to very carefully manage the operational cash cycle, which for Q4 ’21 included improvement in days sales outstanding, an increase in days payable, offset by an increase in inventory days resulting in a cash cycle of just under 7 days, an improvement of 12 days, compared to last year's Q4. In addition, we increased availability on our working capital line of credit with Silicon Valley Bank from $5 million to $7 million to support revenue growth and we continue to expand our lines of credit with key vendors. 19:34 Finally, we will be participating in the 34th Annual ROTH conference taking place March 14th and 15th , and we look forward to seeing you there. 19:45 Operator, we are now ready for questions.
Operator: 19:50 We'll now begin the question-and-answer session. [Operator Instructions] And the first question comes from Suji Desilva with ROTH Capital. Please go ahead.
Suji Desilva: 20:11 Hi, Chuck. Hi, Gail. Congratulations on the strong end to the calendar year. So, I just wanted to clarify there, Gail, the gross margin weakness, primarily is that the DRAM price softness? Is that driving that? Just to understand.
Gail Sasaki: 20:27 Both the product mix with a higher percentage of resale, as well as the DRAM softness at the end of 2021.
Suji Desilva: 20:38 Goit it. And you expect that to persist into ’22 near-term, from what you can tell?
Chuck Hong: 20:44 No, actually, we expect -- we're planning on improvement in the product margins, although we will continue to have a higher percentage of resale business. We did have some learning curve in regards to product, regarding Hynix, but we've added expertise as we mentioned to better capitalize on the opportunity. So we're definitely focused on increasing growth in the margin dollars, as well as maximizing the percentage.
Suji Desilva: 21:27 Okay, Great. That's encouraging here. And then maybe Gail or Chuck the Hynix agreement, the resale, when do you reach a full run rate there? I know you’re building out the distribution and inventory -- distribution and infrastructure. I'm curious if you're at that full run rate here or when will you reach it?
Chuck Hong: 21:46 Hey, Suji. Yes, I don’t -- I think there's still quite a bit of headroom left to continue to grow that business. There is a total dollar limit to the amount of annual purchase, we've not hit that number, but I think there will be some flexibility to even go beyond that number as we build out the partnership.
Suji Desilva: 22:16 Okay, great. And then on the SSD area, what is, Chuck, your rough estimation or Gail of the expected growth, the revenue level for ’22 versus ’21? I know it did pretty well in ‘21. I'm curious how quickly you expect that SSD business to ramp?
Chuck Hong: 22:34 I think that we did very well in Q4 compared to Q3. And we do have quite a bit of new customers now qualified in the pipeline and the Gen4 business, I think, it will continue to grow nicely. I can't put a number on it right now. But I think it’ll be substantial growth compared to last year.
Suji Desilva: 23:04 Okay, great. And lastly on the litigation front, I didn't know if I missed this in the prepared remarks. Is there a Markman hearing coming up and what's the schedule for that?
Chuck Hong: 23:17 Well, there are 3 cases that all have Markman hearing. The client construction hearing and a ruling, that's involved, because all patent cases have that. The Micron, as mentioned in the prepared remarks, was supposed to happen on the 31st of March, but now with the move from Waco to Austin that will likely be the delayed. We will know more at the case management conference on Thursday. 24:00 For Google, same thing, there will be a case management conference on Thursday. And I think that will shed light on when a Markman would take place in that case. Samsung now a case at the Eastern District of Texas under Judge Gilstrap, they will set out a Markman date when we have the hearing sometime in April. So -- but that will again, because of the local rules in that venue will likely happen relatively early, maybe mid-year or sometime in Q3.
Suji Desilva: 24:53 Okay. Thanks for the [indiscernible]. Thanks everybody.
Gail Sasaki: 24:56 Thanks, Suji.
Chuck Hong: 24:57 Thank you, Suji.
Operator: 25:02 This concludes our question-and-answer session, which also concludes today's conference call. Thank you very much for attending, and you may now disconnect.